Operator: Good day and thank you for standing by. Welcome to the Iluka Resources Limited 2021 Half Year Results. [Operator Instructions] And please be advised that today's conference is being recorded. [Operator Instructions]  I would now like to hand the conference over to your first speaker today. Tom O’Leary, please go ahead.
Tom O’Leary: Good morning and welcome. With me, Adele Stratton, Matthew Blackwell and Luke Woodgate. Thank you for joining us. Keeping with the tradition, Adele and I'll make some brief remarks by an overview at which point we look forward to taking your questions on what I think has been an excellent and an eventful first half. The headline results announced today is underpinned by three key factors. Iluka's discipline in 2020, resurgent demand for the company's product and industry supply constraints that are linked to a range of factors that come into sharper focus for both the nearer and longer term. The steps we took last year in response to the pandemic provided a strong market, operational and development platform on which Iluka has capitalized. And that's quite a bit illustrated by our first half mineral sands margins, which were 41% were very healthy and indicative not only of pricing conditions, but the margin preservation we achieved in 2020 as a result of our actions. In terms of demand, the downstream industries we service including ceramics and pigments, have returned to pre pandemic levels of activity with little inventory throughout the supply chain. This has necessitated customers increasingly seeking feedstocks of high grade and quality as a means to optimize output for both Zircon and titanium dioxide, that high grade and quality has long been a defining characteristic of Iluka's portfolio. And we've seen this reflected in our sales performance. On the supply side, I've spoken at length in the past about the prospect of looming industry challenges. A number of events during the half has served to undermine this dynamic. And while these are covered in today's release, I will reiterate that Iluka is positioned to lead in the response to market and industry conditions by deploying our operations, product suite and development pipeline. I'll make a few comments about development pipeline in a moment after Adele covers the result.
Adele Stratton: Thanks Tom, and good morning. Iluka's first half profit was $129 million, up14% on H1 2020. Mineral sands EBITDA was 69% to $299 million, driven by both growth in sales volume and prices. This was offset partially by an appreciation in the U.S. dollar exchange rate from an average of $0.66 to $0.77 which obviously affects the company largely U.S. dollar denominated revenue. Iluka's profit share from the company's 20% stake in the newly demerged Deterra Royalties is $9 million. This is a profit share after tax with the tax paid by Deterra. The profit share is also after six months of non-cash depreciation charge of $3 million. Due to the timing of dividend received, Iluka's cash flow was $3 million from its Deterra stake reflects dividends received based on the Deterra's H2 2020 results. Noting that the Mining Area C royalty revenue declined referring to Deterra only for October last year. Iluka's operating cash flow with $306 million, $179 million of which was free cash flow. H1 CapEx was modest at $17 million and was targeted at progressing studies associated with Iluka's development pipeline, which as Tom has just mentioned he'll talk to in a moment. The previously announced return of the JobKeeper subsidy is also reflected in our cash flows in H1 2021. We've continue to prioritize balance sheet strength with $220 million of net cash at 30th June, up from the 50 million at the end of 2020. We also have total debt facilities of $505 million. I'm also pleased that we've declared an interim dividend of $0.12 per share fully franked. And with that back to you Tom.
Tom O’Leary: Thank you, Adele. Slide 15 covers our operations we have returned to maximum settings in Australia and importantly, we've done so with an improved safety performance. In Sierra Leone back in May, we announced the potential suspension of operations from late 2021. Our focus has been twofold, returning Sierra Rutile to sustainable financial performance, including through productivity measures on site, as well as discussions with government regarding the operations fiscal regime. And secondly, the third party investment process for Sembehun development. Pleasingly, the government has agreed to alter Sierra Rutile's fiscal regime such that among other things, royalty and revenue taxes are reduced from 7.5% to 1%, while Area 1 operations continue. As a result, Iluka has deferred the potential suspension until January while work on productivity improvements and the third party investment process is ongoing. Last and by no means least is our development pipeline, which is summarized on Slide 18. In mineral sands today, we've announced important progress in relation to the SR1, Balranald and Wimmera projects in particular. Each of these decisions reflects the range of options at our disposal to address industry supply over various time periods and scenarios. A new edition of the pipeline is Euston project. Euston is a traditional mineral sands deposit that Iluka has held for some time. It's located in Western New South Wales not far from Balranald. Project work is, obviously, in an early stage and I won't be commenting on specifics today. But it's notable that just as we're progressing projects through the middle and latter stages of the pipeline, we're also replenishing them with early stage development. And I'll conclude on rare earths with the Eneabba development covered on slide 20 to 22. Phase 2 construction is well underway and expected to be completed in the first half of next year. On slide 21, we highlight the standalone value of this project. And you can see that if it were sold it today monazite price, the net present value of those cash flows would be $770 million. The Eneabba stockpile is rich in high value neodymium, praseodymium, dysprosium and terbium, the magnet metals the potential for the electrification of the global economy. Phase 2 is low capital, low operating costs, and it's in a location and jurisdiction were Iluka has operated in for over 14 years. However, as I said previously, we may choose not to sell any products from Phase 2, as this could be the initial feedstock for our own fully integrated rare earth refinery. And as outlined on Slide 22, the feasibility study for the Phase 3 refinery at Eneabba is progressing well in terms of technical engineering, environmental and market work strength. The letter of support we received from the Australian Government and disclosed to the market in May was a particularly significant development and their discussions in relation to potential risk sharing are positive and ongoing. So with that, I'd be delighted to open up the lines to questions.
Operator: Thank you. [Operator Instructions] The first question we have is from the line of Rahul Anand from Morgan Stanley. Your line is now open.
Rahul Anand: Hi, good morning. Thanks, Tom and Adele and team. Look, can we start with SR1, perhaps. So I just wanted to touch a bit upon sort of how you're seeing that availability of ilmenite. You did talk about in your presentation that it'll be internally and externally sourced. I just wanted to understand, am I correct in thinking that Balranald would be required to internally source completely for SR1. If we think about Cataby specifically, the initial mine plan had the grade falling off starting calendar year '23, which would probably see quite closely match what SR2 requirements are currently. If you could help me with that, I'll come back with another question. Thanks.
Tom O’Leary: Sure, Rahul. I'll hand over to Matt in a moment. But no, the initial campaign does not require feedstock from Balranald and we're pretty comfortable. We've got the ilmenite covered. But Matt do you want to?
Matthew Blackwell: Yes, Rahul. We will feed a combination of internal and externally sourced ilmenite. We've got sufficient for an initial couple of years of operation secured and identified. And then, as time progresses, we have other opportunities from the portfolio to continue feeding that asset.
Rahul Anand: Okay. All right. Thanks for that, Matt. Perhaps the next one is around Balranald. Just wanted to understand another year for studies and sort of progressing the DFS. Just wanted to understand if you can talk to perhaps the technicalities here and some of those headwinds, whether you realize the parts to solve that backfilling issue that was part of the feasibility study, now that this has progressed. And I didn't quite see a CapEx number as well associated with the DFS. I would assume that's inconsequential or is it -- if you could help with that as well? Thanks.
Tom O’Leary: Okay. So, there's two parts to that question. The first, we -- as we noted -- we've noted previously that we didn't achieve all the backfilling requirements that we wanted to do. We did achieve some, but it's not material to the execution of the project. And it was always contemplated that we would have a more traditional surface placement of tailings as one of the options. And that's the pathway we are progressing and taking into the DFS. The second question around capital. Capital never inconsequential. But we're entering the data efficiency stage and we will advise you and others about -- on the actual capital once we progress through the DFS and when we get close to we acquire this part of that EFA [ph] decision.
Adele Stratton: Yeah. Raul just asked about, we have disclosed the $23 million that cost in Balranald definitive feasibility study. So, the whole point of the definitive feasibility study is to refine the approach to that development to lead into that. And as Matt said, the normal, [technical difficulty], we will disclose what that capital requirement is at that point in time once they've done the work that helps underpin that number.
Rahul Anand: No, that's good. Thank you.
Adele Stratton: [Technical Difficulty] We spend $23 million, if we weren't confident that we'll be making adequate returns from it.
Rahul Anand: And just one quick follow-up, is it fair to assume that this would be done in units? So, basically you'll have sequential units that you'll add over time as each of them become successful, perhaps that's for Matt.
Matthew Blackwell: Yeah. Look, Rahul, that's exactly what we've tried to indicate on that slide is one of the unit produces 190,000 to 200,000 tons of agency. And we think a logical pathway to develop this is to start with one production unit. And then, as we gain confidence and probably tweak a little bit, we will bring in potentially a second production unit. And that's why you also see the anticipated mine life has a range, which is as much reflection about timing of when we bring that second unit on.
Rahul Anand: Okay. Perfect. One final one from me, perhaps with Tom. Tom, thinking about SRL going forward, what could change your division around SRL in terms of developing Sembehun, I mean you've talked about finding another partner. Perhaps if you can shed a bit more light or if you have any update there in terms of how things are progressing? And then also, are you perhaps looking for a partner to take over operations where you take a minority position, or is this partnership basically to have a mind -- another minority holder there basically to support your operations and your relations with the government. [Technical Difficulty]
Adele Stratton: Hi, Rahul. Can you hear us?
Rahul Anand: Yes, I can.
Adele Stratton: Yeah. Sorry. We had -- we were disconnected for some reason. Sorry. Matt was just -- just talk SRL .
Matthew Blackwell: Yeah. Rahul, I think what you're asking was what are the chances of Sembehun being developed, look, I think what we've said before, continues to be the same that to the development of Sembehun. We're going to need to see improvements in operational performance. We have now, I think, the government make some improvements in the fiscal regime, which I touched on. And we'll also go to next third-party investment, and to that third-party investment process continues.
Rahul Anand: So, I guess, just to follow-up there. Are you open to having, or becoming a minority shareholder in the project and let someone else run it? Or are you looking for basically a minority shareholder to step in and you want to continue to be the operator and majority holder?
Matthew Blackwell: Look, as you'd expect, Rahul, we're looking to deliver sustainable value and in this case to maximize returns to shareholders. And so, we're open to a range of possibilities.
Rahul Anand: Perfect. Okay. And any -- just one final one, perhaps on rutile, any sort of guidance you can provide on how to think about the contracted volumes going out in the second half in terms of market fundamentals, and how we should think about pricing? You did give us some snippets in the quarterly, but anything a bit more substantial perhaps that you are able to provide today?
Matthew Blackwell: Rahul, as we've noted previously, the majority of the rutile from Sierra Leone is under contract and it has a sort of a pricing formula built into it. Material, that's not under contract, predominantly that's going. The welding market is being sold at prices. And we've talked about a 9% increase into the second half.
Rahul Anand: Yeah. Okay. Look, that's very helpful. I'll pass it on. Thank you very much.
Operator: Thank you. And we have the next question from the line of Paul Lian from Goldman Sachs. Please proceed with your question.
Paul Lian: Good morning, Tom, Adele, Matt and team. A few questions on the zircon market and then on the growth pipeline. Starting with zircon, Tom, acknowledged that you've said that you've focused on deliverying sustainable pricing, and inventories to life. So the setup to obviously zircon based on demand recovery and supply side issues is pretty good. A question on, I guess the market and the dynamics with Richards Bay, some feedback that I get out of -- from some of the major customers in China, is it without Richards Bay in the market, you could see demand destruction. There's just not the supply to fill -- to actually meet demand. So, Richards Bay back in the market is a positive. I guess, maybe just with that -- with those comments, two things here. First of all, with spot prices at $1,900 a ton, well above your contractor prices, are you seeing any signs or any murmurs is demand destruction. And secondly, also the comments around the fact that Tronox and Iluka fully contracted or running as hard as you possibly can, is there any way that you can actually deliver more volume through the zircon and concentrate the ZIC channel at all to meet demand?
Tom O’Leary: Yeah. Look, I'll hand over to Matt in a moment Paul, but look, I agree with your comments that from an industry perspective, it is good to have additional supply at the moment. Now what customers are most concerned about is security of supply. But when you think about demand destruction, you need to think about the substitutes and the pricing of substitutes. So keeping an eye on the likes of calcite Illumina. Look, I'll hand over to Matt generate to your point.
Matthew Blackwell: Yeah. Paul, so a couple of things. One is the spot pricing in China on small volumes is high and has been speculative, and we don't play in that market and they're pretty small volumes. So, I think we just need to be mindful of that. The bulk of material that's getting sold into China, getting consumed into China's, within a range that we and others selling it. So that'd be the first comment. I agree with you that the -- it's healthy that customers see that demand -- or sorry -- supply substitution and demand won't be destroyed by just lack of supply, right? So, that's good. And then finally on ZIC, we had all -- our ability to increase sales and we ramped up our production of ZIC in the second half of this year. And we're going into next year with our ZIC production at full capacity and that's -- and we've discussed it for quite a number of years. That's being a bit of an opportunity for us to swing production of zircon. It's held on the balance sheet at basically zero value, negligible value. So, it's a good margin and quick response for us into the market. 
Paul Lian: Thanks, Matt. And that volume, you can run it that 60,000 tons, is that the sort of the peak on ZIC?
Matthew Blackwell: Yes. About that. Yeah.
Paul Lian: Okay. Thanks. Great. Next, a couple of questions on the growth pipeline. Thanks Tom for all the additional details. So we can line up asset models really, really helpful. First question is on any other Phase 2 and just that, call that -- you're calling out the $7,000 ton, spot monazite pricing, again probably on same volumes and a China price, but is that -- are you basically maybe indicating that's the sort of price that you need to see or receive to actually contract to two years from Phase 2 ahead of the refinery potentially commissioning?
Tom O’Leary: No, not at all. No. In fact, to the extent that we continue to engage positively with government on any other Phase 3. I was certainly foreshadowed that we potentially wouldn't export any Phase 2 material. So that's not the right takeaway. It's really trying to indicate that having engaged with potential customers, that's the sort of price that we'd expect to get in today's market for that Phase 2 material. It also indicates that it's a strong and significant business opportunity. This is Phase 2 in its own right. And so to proceeding to Phase 3, we'd very much need to be incented to take the risk and spend the capital associated with Phase 3.
Paul Lian: Yeah. Understood. Final question, just on the refinery, as far as [indiscernible] and what form is part of the feasibility study, what scale refinery in rare earth oxides, thousands of tons per annum, are we basing the feasibility study on?
Tom O’Leary: Yeah. We haven't disclosed that, Paul, at this point deliberately and we're continuing to work through that feasibility study and we'll disclose more details about scale and capacity and so on in time.
Paul Lian: Okay. Thank you, Tom. Thanks, Matt.
Tom O’Leary: Thank you.
Operator: Thank you. [Operator Instructions] The next question is from Jack Gabb from BofA. Your line is now open.
Jack Gabb: Thanks and good morning all. Just two questions from me. Firstly, just on Jacinth-Ambrosia. Just curious how you're thinking about that going forward. Obviously, you're running the Australian assets pretty hard. It doesn't move back to Ambrosia now make sense. And so, what's the life left at Jacinth to grow profile there. Thanks.
Adele Stratton: Yeah. Jack, so in terms of -- as you know, we moved back to Jacinth last year. In terms of preserving cash, we will be running at Jacinth until that's depleted and therefore we'll be moving back to Ambrosia there later next year. We've always said that the mine life at Jacinth-Ambrosia goes up to about 2027. We have continued to mine that deposit. So, you'll see an inventory that has been in the bills and HMC, and that helps us with sustaining all of the comp production out for the next couple of years.
Jack Gabb: Thanks. Next one is just for you Adele as well. Just how stretched are you allow -- are you prepared to put the balance sheet going forward? You've obviously got a lot of debt capacity available to you. But are there any metrics that we can or that you can point to in terms of how much leverage you're prepared to take on.
Adele Stratton: Yeah. As you say, we look at the balance sheet at the moment, it's in a very strong position, $220 million of cash that are due. And then, as you've mentioned, $0.5 billion of facilities available. When we went through with demerger, we revised our credit metrics to have no net debt through the investment cycles. And hence, that's a consideration in terms of going forward with that balance sheet, but it is through the cycle and therefore, you would draw down and a little bit of that also comes as Tom mentioned in terms of support that we could receive in some of our projects, for example, any other Phase 3, then we'd need to consider how we look at non-recourse debt on the balance sheet.
Jack Gabb: Yeah. Absolutely. And just the last one is, any of debt capacity tied to Sierra Leone?
Adele Stratton: No.
Jack Gabb: Perfect. That's all for me. Thanks. Thank you.
Tom O’Leary: Thanks, Jack.
Operator: Thank you. The next question is from Hayden Bairstow from Macquarie. Your line is now open.
Hayden Bairstow: Good morning all. Just a follow-up from Young Ernst question on rare earth. Tom, just to understand a couple of things, the statement around government support. I mean, how reliant do you think you're going to be on what they're providing funding or tax benefits? What are they -- what are you hoping to actually get from the government on the CapEx on the rare earth plant? And secondly, effectively just a similar copy of what Lynas already have, or you're looking at sort of slightly different processing technologies in the study work? Thanks.
Tom O’Leary: Yeah. So, thanks. In terms of the support that we're looking -- that we're working with the government on, we've talked a lot about a risk sharing arrangement and further to the discussion with Cole [ph]. Given the value of PP2, we very much need to be incented to proceed with a facility like PP3, but given the alignment with government's policy around critical minerals and advanced manufacturing, it's quite evident that the plans around the Eneabba refinery align very strongly with those government policies and those of other nations around the world. So, what we disclosed back in May kind of indicated the nature of the support we're looking at. You probably saw the letter back in May, we received from ministers Pitt and Anne, which referred to the discussions we're having with Export Finance Australia regarding a non-recourse loan to support construction of the Eneabba refinery. So that's the nature of the support we're seeking and we'll -- we look forward to disclosing more details of that in time. In the pack today we've talked about the likely time of completion about feasibility study, the substansive works are going to be complete by the end of the calendar year and we're targeting FID early year.
Hayden Bairstow: Okay. Right.
Tom O’Leary: But the other question you asked, Hayden, was in terms of the comparison with Lynas, what Lynas is doing, as I understand, is really building a hydromet plant, a cracking and leaching facility in, so they're planning to build that in Kalgoorlie. We are proposing to build a fully integrated rare earth refinery at Eneabba, so that is the cracking and leaching. And then importantly, the separation and finishing of both heavy terbium, dysprosium and light rare earths neodymium and praseodymium. So that fully refined rare earth oxides can be provided from a reliable country Australia for the world to facilitate the electrification of power.
Hayden Bairstow: But a similar process to their Malaysian plant effectively?
Tom O’Leary: In terms of the process, we'll talk more about the nature of the process in time.
Hayden Bairstow: Okay. Great. And just on the border restrictions, I mean, you work on Balranald and et cetera. I mean, it doesn't feel like you're getting to Sydney for the rest of this year. I mean, what -- given out border sort of restrictions, what impacts they're having on the business.
Tom O’Leary: Look -- if you look, it is having an impact. Our operations, as you know, a lot of them are in Western Australia, Narngulu, Eneabba, Cataby, Capel and they're not impacted directly at present, but are obviously taking a significant precautions you'd expect. And they're ready to wrap those up if necessary. And JA in South Australia, we're obviously hypervigilant, given the proximity to at-risk communities of the far west coast people. Our project teams at Balranald, in Euston, New South Wales and Wimmera Victoria are obviously more impacted by travel restrictions and they're having to find ways to work through those issues. And in fact, some of the equipment for PP2 and Eneabba that's coming at the eastern states has been delighted as a consequence of factory delays and so on in the east, but we don’t anticipate it certainly this point that they're going to delay commissioning. Throughout Australia, we're strongly promoting vaccination among our people and their families. And we are not done that, we've actually -- I've actually received some pretty positive feedback from our people. So, we're keen to see where the government goes on taking that a step further. In Sierra Leone, we have had COVID on our mine side as I've disclosed previously. And we've been caring for our people and their families through our clinic and managing quarantining and isolation. Again, there we strongly encourage vaccination and there's a high level of take up among our people in the community. And we've also been able to deliver vaccinations directly to our employees and the community. In Sierra Leone, we also have our own PCR testing equipment and we've been able to manage that process ourselves. And that's meant that we can manage our quarantining and isolation in a more targeted and efficient way. In terms of markets, we're aware that the world remains uncertain place, and shipping and logistics have caused a bit of obstruction and costing costs. But despite all of that, what we're seeing at the moment is very strong demand in our call. And as we talked about earlier in the call in our call zircon markets, as well as the high grade titanium feedstock markets. And the supply side remains constrained. There's been no material response from Indonesia, and that's partly driven by COVID there. South African supply faced the same, well documented problems and pretty limited new investment in the industry generally. But as we've been saying for some years in mineral sand, it's a supply side issue rather than one that relies on extensive demand growth. So, look, we're seeing impacts of COVID, but in the marketplace, not so much.
Hayden Bairstow: Okay. Great. I'll leave it there. Thanks for that.
Tom O’Leary: Thanks, Hayden.
Operator: Thank you. [Operator Instructions] The next one we have is from Paul McTaggart from Citigroup. Your line is now open.
Paul McTaggart: Good morning. So, just kind of a quick couple of follow-ups. So, around Sierra Rutile and the fiscal regime, you mentioned a reduction in royalties and taxes of 7.5% to 1%. So it was royalties and which side was too slow -- I mean, all of that down when we took at there.
Tom O’Leary: Yeah. There -- I just went over it quite quickly, Paul, but there are a number of taxes that we pay in Sierra Leone. And the changes that the government has a great -- quite extensive, but there are two key taxes or royalties that are -- that have been payable irrespective of process, 3.5% tax on turnover and the 4% royalties. And both of those are on affectively turnover of sales. So an aggregate 7.5%, and they've been reduced to 1% in aggregate and it presents that change. Those apply through to the end of mining at area 1.
Paul McTaggart: Okay. Great. My second one, I just wanted to follow-up on, it was any other Phase 2, so quoting 22,500 tons, 90% concentrate. So the NPV work you quoted, was that based on a spot monazite price for that product?
Tom O’Leary: Yeah.
Adele Stratton: Yes.
Tom O’Leary: It was. And it takes into account the -- because that monazite and the stockpile is [technical difficulty] has zircon, ilmenite and tax associated with it. So both in that NPV figure accounted for the economy [technical difficulty] and that stockpile as well.
Paul McTaggart: Okay. And lastly, just on this topic about rare earth refinery. So for those of us have looked at the [indiscernible], I mean, there's always been this reluctance to do downstream because the return on capital is so low. And I guess that's part of you wanting government incentives when you can make so much filling out the immediate product. I didn't really get a sense in terms of the discussion earlier about what those incentives would be. I mean, just having a non-recourse line, isn't really a financial incentive. So, what other incentives would you be looking for to possibly get a kind of return on capital that would suit or would match?
Tom O’Leary: Yeah. Look, we're about delivering sustainable value. And I think, the ability to establish a refinery in Australia with a life from the Eneabba deposit with follow-on from Wimmera and other resources around the place, both within and outside of our Lucas portfolio is a tremendous opportunity. We're not going to be -- we will be disciplined in relation to that investment decision as we are with all others. And that is why I've emphasized here and in the past that we need to be incented into that market. But I do think that a non-recourse loan on terms that we're contemplating does provide the incentive to move ahead or at least it could subject to finalization of those terms, which we'll disclose more of in due course.
Paul McTaggart: Okay. We'll look forward to that. Thanks. Thanks, Tom.
Tom O’Leary: Thanks, Paul.
Operator: Thank you. And the next question we have is from Matthew Hope from Credit Suisse. Your line is now open.
Matthew Hope: Yeah. Thanks for that, Tom. Yeah. Look, I'm going to drill into rare earth a little more. I just want to know, first of all, what the rare earth content is at Balranald? And then, previously the Murray Basin operations, I understand that a lot of the monazite from -- that the came out of the Hamilton plant was dumped back into the old Douglas pit. Is that material accessible in the same way that the Eneabba material was dropped back in the pit? Or is it all disposed and no longer recoverable?
Tom O’Leary: Yeah. Look, as I understand, it's not recoverable in the latter case, but certainly a rental case. There are meaningful -- there is meaningful contributions from -- there is a meaningful monazite content there that could be exploited. I don't know that we've disclosed that yet, Matt.
Matthew Hope: Yeah, it's kind of why I asked.
Matthew Blackwell: Yeah. Matt, monazite as you are eluding raring found in [technical difficulty] rentals does -- will have monazite credits and we're considered that. But the more important source of monazite for us is essentially the Wimmera deposit which is much higher in assembly of rare earths and the time zircon. And the work that was done in Wimmera deposits and that initially as a source of monetize in one of the enabling factors first and through so quickly Balranald.
Matthew Hope: Right. Okay. And then also just wanted to touch on -- I guess the non-recourse loan, just on some other -- because you've been talking a fair bit about restructuring. What are the benefits of the EFA loan? Is it simply that -- if the whole thing fails, you can walk away and not have the other assets in the company touched is, is that the full benefit to get around the risk side of it?
Tom O’Leary: Well, that is a feature of non-recourse loans. Yes. But on time -- I've disclosed that we're engaged heavily with EFA in particular on risk arrangements. You've seen the lesser in May, so I hope you have -- from ministers Pitt and Anne, the nature of the discussions we have with Commonwealth confidential. And so until we have those arrangements that at a more advanced stage, I wouldn't want to be drawn further on that.
Matthew Hope: Sure. And then just finally, just wanted about zircon and concentrator, where is that material actually coming from? Where is it sourced?
Matthew Blackwell: Yeah. Matt, it’s Matt again. Two things. First of all, just to your prior comment, maybe just to help you understand a little bit better that monazite from all the rare earths contained at that round, the monazite is a very similar extinguish if you like on makeup of lights and heavies, as what's stored at Eneabba, just that's where you were going for [technical difficulty]. And the zircon and concentrator, we have a large stockpile material at Narngulu, which is the -- which has been stored as a by-product of our processing. And that also gets added to progressively, as we process zircon and agency from other continuing mines and we basically -- we run that plant and we take fresh concentrated out and then it gets exported to Narngulu.
Matthew Hope: Right. Thank you.
Operator: Thank you. We don't have any further questions at this time. Presenters, you may continue.
Tom O’Leary: Okay. Look, I think all that leaves us to do is that thank you for participating in the call this morning and it's been an excellent half. I'm really pleased with how the company's tracking. Thank you.
Adele Stratton: Thanks.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you all for participating. You may now disconnect.